Operator: [Operator Instructions] Welcome to the Bumble Second Quarter, 2021. Financial results. At this time, all participants are in a listen-only mode After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Instructions] I would now like to hand the conference over to your speaker today, Brinlea Johnson, please go ahead.
Brinlea Johnson: Thank you for joining us to discuss Bumble's Second Quarter 2021 Financial results. With me today is Whitney Wolfe Herd, Founder and CEO, Tariq Shaukat, President, and Anu Subramanian CFO of Bumble. Before we begin, I'd like to remind everyone that certain statements may be made on this call today that are forward-looking statements. These Forward-looking statements are subject to various risks and uncertainties and reflect our current expectations based on our beliefs, assumptions, and information currently available to us.  Although it will be these expectations are reasonable, we undertake no obligation to revise any statements to reflect changes that occur after this call. Descriptions of these factors and other risks that could cause actual results to differ materially from these forward-looking statements are discussed in more detail in our filings with the SEC, including our Annual Report on Form 10-K for the year ended December 31st, 2020.  And our subsequent periodic filings. During the call, we also refer to certain non-GAAP financial measures. These non-GAAP measures should be considered in addition to and not as a substitute for or annihilation from our GAAP results. Reconciliation to the most comparable GAAP measures is available in today's earnings press release, which is available on our Investor Relations section for the website at ir.bumble.com. With that, I will turn it over to Whitney.
Whitney Wolfe Herd: Thank you, Brinlea, and thank you all for joining us. I hope everyone tuning in today is staying healthy and well. Q2 was another excellent quarter for us. At the group level for Bumble Inc., we delivered strong results with total revenue of 186 186 million up 38% year-over-year, and adjusted EBITDA of 52 million representing a 28% margin. Bumble app revenue grew 55% year-over-year to 127 million and Badoo app and other revenue grew 11% to 59 million. Our average paying users in Q2 increased 20% year-over-year to 2,900,000.  Our excellent performance demonstrates that the need for love and relationship is more important than ever before. After a year-and-a-half of the pandemic, more people than ever before now recognize the benefit, safety, and access that online dating provides. When COVID accelerates and loneliness climes, people turn to us for connections. And when markets reopen and the desire to meet new people in real life surges, Bumble Inc. helps people find new relationships quickly and safely. Despite the challenges that the world is facing with the Delta variant, we're continuing to see positive trends across our platforms. Even in some of the most affected markets.  For example, in Q2, we saw increased engagement and activity even with the spread of the delta variant in India, and Bumble app monthly active users grew at over 60% year-over-year in that market. According to third-party sources, we have gained or maintained download share in most of our major markets for both the Bumble app and Badoo app in 2021, and in Q2, including download share gain in the U.S. for the Bumble app. Our results in Q2 and the traction we are seeing in Q3 showed that we are able to serve our users effectively as the world faces its pandemic curves.  And also, as markets re-open. While we continue to actively monitor the Covid situation in all of our markets around the world, we are confident in our performance for the rest of 2021 and I am pleased to say that we are increasing our full-year revenue guidance to $752 to 762 million up from our previous high-end guide of 734 million, representing a year-on-year growth rate of 30% at the midpoint. This performance is driven by strong execution against the strategic priorities we outlined earlier this year, including our ongoing monetization efforts, rapid international expansion, re-engagement of users in our core markets, and retention and engagement improvements driven by product innovation, And data science efforts.  We're continuing to expand these efforts, including acceleration of Bumble apps, global expansion, investment in the next generation of our friend finding service, Bumble BFF, and rollout of two-tier pricing for the first time on Badoo, starting in Q3. Let me give you some details on performance by APT. Starting the Bumble app, Bumble app had a very strong quarter with revenue growing 55%, with growth coming both from paying users and ARPPU. On a global basis in Q2 registrations and monthly active users on the Bumble app grew at the fastest year-over-year rate since the beginning of the pandemic.  We also saw a 26% increase in re-engaged users and achieved record levels of daily active users in Q2, fueled by registration, Growth, customer reactivation, and material improvement in customer engagement and retention. Our teams continue to innovate to ensure that we are serving our users in the most Forward-thinking, safe, and effective way possible. During the pandemic, women searching for serious relationships was at an all-time high. So, we updated our on-boarding process for those looking for more serious relationships, prompting members to create robust and more in-depth profiles to really increase the compatibility between two customers.  We also partnered with snap to bring augmented reality features into our video chat. And we extended our Night In trivia experienced to India with high levels of engagement. The average time spent on the Bumble app increased by 10% in Q2 with time on the platform for women, 24% higher than that for men. Demonstrating the power of our women-first model that really leads to healthier and more balanced ecosystems for all users. Global expansion continues to be a major driver of Bumble apps Growth.  As the UK and Ireland started to reopen in Q2, we saw very rapid growth with U.S. revenue, growth of over 70% year-over-year, supported by our targeted local marketing efforts. The DACH region continued to be a major driver of growth, growing monthly active users by over 100% and now representing our fourth highest revenue market with revenue growing at over 200% year-on-year. Other parts of Western Europe, including France and the Benelux region, also continued to grow at a very rapid rate.  As of our presence in Southeast Asia and India, we continue to be pleased with the progress we are seeing in our social discovery and friend binding platform BFF. Despite still being a V1 product as of Q2, 10% of our Bumble app monthly active users are using BFF. Our teams. Are hard at work building the next-generation, BFF platform, and we expect our new product features to start rolling out over the next several months. The early results of our tests are encouraging and suggest strong use of our appetite for these new features that are under development.  For example, on the first day of beta testing, our new interest feature on BFF, we saw an over 500% increase in users adding interest to their profile. We really look forward to providing more updates as we continue to advance our launch. So now let's turn to the Badoo app and other revenue which grew 11% year-on-year in Q2. Badoo app is a global scale player operating in a large number of markets, including Eastern and Western Europe and Latin America. The pandemic is still a significant challenge to the broader population in many of these areas. And in particular to the Badoo user community, which is predominantly in the urban middle class, and has faced economic pressures from COVID.  While according to third-party sources, Badoo has maintained or gained download share in most of its major markets in Q2. And user growth, especially in our legacy web platform, has been challenged under these conditions. However, we're pleased to report on many successes. got to do this quarter that fueled our double-digit growth. The Badoo team has focused on improving monetization and user engagement and many of our user engagement metrics are at their highest levels in over 2 years. Day 1 and week 1 retention at and one of our core measures of user success, which we call good chat, have all increased in Q2.  We've remained very focused on improving monetization and engagement and are seeing evidence of our efforts taking hold. Payer penetration is growing at healthy rates in many of our major markets, including a 40% increase in Brazil and a 34% increase in the U.S. And we're starting to see user growth on iOS. For the second half of the year, we are focused on reintroducing Badoo to users as Covid conditions improve and on launching a range of new features and experiences tailored towards the changes and user behavior that have emerged during this pandemic.  We look forward to continued improvement in Badoo as markets and economies recover from the pandemic conditions, coming back up to the Bumble Inc. Level, one of the key elements that make us who we are is our focus on safety and accountability. This is not just a one-time investment or an initiative run out of a special silo. It is embedded in every aspect of our business. Last week, we announced an industry first, a partnership with [Indiscernible] and Bloom to be the first aiding app to provide trauma support to survivors of sexual assault? I cannot tell you how important this is to me and to our entire team.  And it is something we hope that the entire dating industry will follow. We have been continuing to deploy our machine learning expertise to make the experience on our apps even better. Even if faced with that after. In Q2, we made a major push with a new set of data analytics and machine learning models to improve the moderation of chats on Badoo. And we are very pleased with the results. We now catch more bad actors before a user experiences an issue, improving the quality of our experiences and reducing potential abuse. This is a continuing focus of ours across all of our brands.  As we think about the future of Bumble Inc., our team remains focused on executing against our strategic priorities and long-term growth plan. Our group today consists of the Bumble app, the women's first app where women always make the first move, and the Badoo app where users can quickly and easily make real connections without pressure. Both are built on our foundation of engineering excellence and safety, accountability, and kindness. We're looking to grow organically by leveraging our shared technology platform to build, stay kind, and accountable technology for new communities.  We also see opportunities to acquire businesses consistent with our mission and values, that can help us expand our presence, reaching new geographies and customer demographics. Bumble Inc's mission of helping communities across the globe find healthy and equitable relationships through all stages of their lives, supports a tremendous, very long-term opportunity, one, we believe our brand can own. And with that, I want to say thank you so much for your time today, and I will now hand it over to our CFO, Anu.
Anu Subramanian: Thanks, Whitney. And hello, everyone. In Q2, we saw continued momentum in our business with higher-than-expected revenue and adjusted EBITDA performance. Total revenue in the quarter grew to 186 million, an increase of 38% year-over-year. And adjusted EBITDA was 52 million representing a 28% margin. An increase versus 24% in Q2 of last year. As a reminder, the revenue in the second quarter of 2020 was impacted by a 4 million reduction in deferred revenue recorded in purchase accounting.  Q2 revenue growth was driven by strong improvements in total paying users, which grew 20% as well as Growth in total ARPPU, which grew to $20.88, an increase of 15% year-over-year and 4% sequentially from Q1. Bumble app revenue was 127 million for the quarter, representing strong growth of 55% year-over-year. Bumble app paying users increased 36% year over to 1.5 million. An addition of 120,000 versus last quarter. As Whitney noted, the growth in our Bumble app community continues to be robust with strong contributions from North America, as well as from our newer international regions.  In Q2, we continued our expansion in Europe with the launch of Austria, Switzerland, Netherlands, and Belgium. Throughout Western Europe, we saw triple-digit paying user growth in Q2 with the dach region being exceptional, growing more than 200%. Bumble apps are people for the quarter was $28.81, which grew 13% year-over-year and was up 4% sequentially. We were especially pleased with the strength in metrics for women with year-over-year, our people, growth rates for women outpacing that of men by more than 100%. During the quarter, we completed the launch of two-tier for Android in our remaining markets.  And I'm very pleased to say that as of the end of Q2, the adoption rate of the higher tiers continues to be more than two-thirds of new users. Within the Bumble app, we expect our monetization work to continue with the introduction of new consumables and subscription offerings. For example, in June, we launched an extended spotlight, which provides increased visibility for our super users. Badoo app and other revenue were 59 million in Q2, which was up 11% year-over-year. Similar to the Bumble app, we saw improvements in payer penetration with paying users, increasing to 1.5 million up 8% year-over-year.  Paying user growth came from our core Badoo markets, such as Brazil, Russia, and the U.S., which delivered strong results. Badoo app, our people in Q2 increased 4% year-over-year to $12.85. Drawing on the learnings from the launch of Bumble Premium, we will be rolling out tier pricing for Badoo later in Q3. We expect the launch first in the U.S. on both iOS and Android, with the remaining markets to follow closely in Q4. In addition, as we mentioned in the prior quarter, our work on our next-generation of consumable products on Badoo is also ongoing, as we work on providing a low entry point for members to convert into paying users.  Turning now to expenses, I will discuss these on an adjusted basis, excluding the impact of stock-based compensation. And onetime transaction costs. Cost of revenue was 50 million up 36% compared to Q2 of last year. On account of higher aggregator fees, which grew in line with revenue. As a percentage of revenue, this was flat year-over-year at 27%. Sales and marketing expenses in the quarter were 47 million up 20% year-over-year. As a percentage of revenue, it was 25% down from 29% in Q2 last year, and slightly up from 24% of revenue in Q1 this year. As some markets opened up at the beginning of summer, we leaned into reopening campaigns in the U.S., France, Germany, Netherlands, and the UK.  We will continue to be nimble in investing in marketing next quarter around reopening efforts, including market expansion initiatives in Asia and on-campus in-field marketing efforts as colleges come back in session. G&A spend was 21 million or 11% of revenue in line with our spend in absolute dollars in Q1 of this year. But higher than Q2 last year, mainly driven by increased headcount and public Company costs. Second-quarter adjusted EBITDA grew to 52 million, an increase of 60% over the prior year, representing adjusted EBITDA margins of 28%. As our top-line revenue has shown rapid growth, we are continuing to demonstrate operating leverage in our business.  Our stock-based compensation expense was 30 million for the quarter, which was up from 3 million in Q2 of last year, primarily due to modification of equity awards at IPO. We generated a net loss of 11 million for the quarter, and we ended Q2 with 252 million of cash. Turning to our outlook, we are confident that our momentum on Bumble apps will continue into the second half of the year. While Badoo has shown itself to be resilient through the pandemic. Reduced exposure to cobot is more prominent than the Bumble app given its geographic and demographic footprint.  And hence, we expect that Q3 for Badoo may see some impact from Delta. But as these markets come up on the vaccine curves, we feel, confident in our ability to continue our momentum through the end of the year. And this is captured in our increased full-year outlook. With that, we're pleased to raise our full-year guidance for both revenue and EBITDA. Looking ahead to Q3, we expect total revenue in the range of 195 million to 198 million, representing a growth rate of 21% at the midpoint of the range. We expect adjusted EBITDA to be in the range of 48 million to 50 million, which represents a margin of 25% at the midpoint.  For the full year, we expect revenue in the range of 752 to 762 million a growth rate of 30% at the midpoint of the range. For adjusted EBITDA, we expect a 195 to 200 million, which represents an EBITDA margin of 26% at the midpoint. To close out, we had a very strong first-half performance. We demonstrated our ability to scale our business, grow revenue while staying disciplined, and improving profitability. Our increased guidance reflects our confidence in the momentum in our business and our ability to execute on our strategic direction. And with that, we will now be happy to take your question.
Operator: Thank you. As a reminder [Operator Instructions]. Please stand by while we compile the Q&A roster. Our first question comes from Cory Carpenter with JP Morgan. Your line is now open.
Cory Carpenter: Hey, thanks for the questions. I think the first one for Whitney and Tariq, you touched on this a bit, in your opening comments, but hoping you could expand on the impact you're seeing from the latest surge of COVID cases, any evidence at all slowing momentum in markets such as the U.S. And then for Annual could you expand a bit on just kind of some of the drivers of the upside that you saw from revenue in 2Q, in some of your key assumptions in the guidance. Thanks.
Tariq Shaukat: Sure. Hey, Cory. This is Tarik. Thanks for the question. I guess I'll start with the first piece on the Bumble app. In particular, we're not seeing any material impact from COVID, from the Delta variant spread in the U.S. I think that the U.S. markets are continuing to perform very well. For us on Bumble that is generally true on the Bumble app worldwide, even in markets that are experiencing this resurgence of Delta.  As we mentioned, Badoo is seeing a little bit more impact particularly in some of the international markets where there is more COVID impact. But in general, on Bumble as I said, no no real sign of an impact engagement is at pre-pandemic highs on both Bumble and Badoo. And so, we're feeling, as Andrew said, very confident about this quarter.
Whitney Wolfe Herd: Sure. And Corey, just to your second question, our growth in Q2 really has been a function of strong growth across the board for paying users and our people for both Bumble and Badoo. And like I said in my comments, we've been very pleased on the Bumble side with the momentum. We've seen growth not only in our existing markets but also in a lot of our new markets, which is obviously very exciting as we look at our international expansion.  And a lot of the work that we've been doing around two-tier pricing has really paid out as we think about our people growth. As we thought about guidance, if you take all of this, we've been super pleased with the strong first-half growth we've had so far. And with revenue up 38% in Q2 with Bumble growing at 55% and Badoo at 11%, Our overall business has just shown very strong, healthy engagement and momentum in many of our markets.  And so, we're super confident about raising our full-year guidance at 30% at the midpoint of the range, and our Q3 guidance assumes revenue will grow at 21% at the midpoint. And if you break it down by app for Bumble app, because of the growth that we've seen in Q2, and as we look at the progress so far in Q3, we're seeing very strong growth rates across all our major markets. And we're expecting growth in both paying users and our people.  And we expect that sequentially that will continue between Q2 and Q3. We're very positive about, like I said, markets that we are in today like North America, and the UK, where the vaccination rates are high and also in the market that we are expanding, including Western Europe, dock, et cetera, for our people, we finished the roll-out of two-tier, as I said, but we do expect to continue to see the benefits of that as more new users continue to come into the higher price tier. So that is very positive news for us as we think about growth in our people in Q3 and Q4.  And interestingly in addition, in recent months, we've actually seen that adoption of the higher-priced here has been more than the 2/3 that we've been talking about. So, in some markets, we've actually seen the growth of upwards of 70% -- adoption of upwards of 70%. Again, very, very positive signals as we think about what the rest of the year looks like. And for Badoo App. As I mentioned, Badoo has a large-scale base today, and its users are R & D, urban middle-class.  And it also has a large geographic footprint where they have experienced a higher impact from COVID. So, we do expect to see some impact on users. and paying user growth. But as we move into Q4, we're actually very excited about the rollout of 2 tiers for Badoo and which we think will be very beneficial from a monetization perspective. So, if you put all of this together, we feel very confident about raising our full-year guidance.
Cory Carpenter: Thank you.
Operator: Thank you. Our next question comes from Nick Jones with Citi. Your line is now open.
Nick Jones: Great, thanks for the questions. I guess first on new product features, increasing users, how should we think about any additional futures for the rest of the year and what the potential impact could be on usage. There's do you think there are some features that can still kind of move the needle meaningfully there. And then I guess maybe could you tell a little bit about the Snap partnership to bring AR features onboard? Thanks.
Tariq Shaukat: Sure. Hey Nick, so this is a great question. Let me talk about Bumble and Badoo in turn. I think that a lot of what we're focusing on on the Bumble side is really these features that are helping to engage our users as their preferences have shifted from a relationship standpoint, Whitney mentioned more focused on serious relationships. We're seeing a lot more focus on what we're calling intentional dating. Or we think of.  As intentional dating, meaning people are much clear coming into that dating market. But what they're looking for from a relationship and we are really trying to give them the tools to do that and make the experience better for the, more serious and intentional types of relationships that are -- that our users are talking about to a lot of what we've done in Q2, as well as the plan for Q3 and Q4 is really focused on activities like that. In addition to new monetization features.  And what I referenced last quarter, some of the consumable experiments that we're doing in different parts over the world. We do have a very active innovation program that is building on top of what I just talked about as the more optimization part of what we're doing. And that is a really active exploration of some of the features that we talked about with augmented reality, with snaps and video features, areas like that's probably too early to go into a lot of depth about those pieces.  But a lot of work and testing going on in those areas as well. On the Badoo side, kind of a similar story, we are very focused on, how do we help people as they start to come out of the pandemics? It's a little bit of a lag from what we're seeing on Bumble largely because of the geographic footprint. But again, the same themes seem around. Intentional dating more robustness in profile element, better matching features, algorithmic updates across both Bumble and Badoo. All of those are kind of coming together for us in the second half of this year.
Nick Jones: Great, thanks for the questions.
Operator: Thank you. Our next question comes from Mike Ng with Goldman Sachs. Your line is open.
Mike Ng: Hey. Good afternoon. Thank you very much for the question. I just had one on the Bumble app, [Indiscernible] it was really strong in the quarter. I was wondering if you could help to quantify some of the contributors to the year-over-year acceleration in growth. How much was really the two-tier Pricing rollout at IOS and then Androids, as well as some of the innovation and the Al a carte' products? Thank you very much.
Anu Subramanian: Sure. Thanks, Mike. So, when we talked about monetization for Bumble, we've always said that we've been really focused on moving more people into the subscription tier when we started this work last year. And if you recall, the number of Bumble users. That we're also subscribers, number of Bumble paying users that were also subscribers was an add-on the 90% range. That number has actually gone up now, we're actually closer to 93% in terms of the number of paying users that also subscribed to one of our products.  And that has largely been due to two-tier because two-tier now actually in fluids consumables in the package as well, which was not the case prior to that. Obviously, we launched Bumble Premium, and that all out, obviously, is now complete.  And like I said, when I was answering the prior question, we are starting to see adoption pickup for the higher price here. In many markets, we had upwards of 70% and we still actually have a small -- a long tail of users that are still on the old pricing system and they will continue to sort of migrating as they turn out and they start to re-enter the system. So that still needs to move into the new price tier. But two-tier really has been a huge part of why you've seen the growth in ARPPU, which is obviously very important to us, especially as we think about taking the learnings from the Bumble app to Badoo.  As we think about the rest of the year and going forward, we are continuing to review pricing and having a market and you will see us continue to adjust and iterate to be competitive in every market that bid in, but also to make sure that all the work that we're doing it on price elasticity, on subscriptions manifests itself into real improvements in ARPPU. So that's very exciting for us.  We are working on additional product features in the form of consumables. I'd mentioned in my prepared remarks that we launched an extended spotlight in June. It is a consumable that provides increased visibility if you're a power user. So that helps to improve our people as well. And we have a few other interesting consumables that where are testing, that are in the works, that you will hear us talk about in the next few quarters.
Mike Ng: Fantastic, that's really helpful. Thank you, Anu.
Operator: Thank you. Our next question comes from Brad Erickson with RBC. Your line is open.
Brad Erickson: Thanks. I guess I'll just follow on to that last comment. Just curious. What's the cadence by which you guys expect to roll out those, some of those new products? Like the consumables for example, that you just mentioned, is that going to be like every year thing alongside potential new tiers, or is it maybe a little bit less frequent than that?
Tariq Shaukat: Yeah. I think that'd be when we have kind of a multistep launch process. We are very active test and learners, and one of the advantages of the footprint that we've got geographically and from a demographic, from a segmentation standpoint is we can test a lot of things and build confidence in the impact and the engagement and the value before we roll it out.  And so, we have dozens, if not hundreds of experiments going on at any given time when we find something that really adds material value to the user, we actually role those out. I'm pretty, continuously. That is generally for enhancements to the user experience. We always want to provide the best experience possible to our users.  As it comes to monetization, we try to bundle these together a little bit more, but certainly, on a frequency that is more than the annual that you're, you're talking about. So, we would expect several times a year, of course, it depends on how big the changes are or might be a little lumpy from year to year, but generally speaking, we believe in launching frequently. And really driving -- trying to drive the innovation experience that our users have.
Brad Erickson: Thanks. That's helpful to understand the philosophy. And then I guess just a follow-up, just what kind of have you seen lately in terms of the competitive landscape for the Bumble brand. Just curious if you can share a bit, particularly about how you're feeling sort of your diversification-wise beyond some of the major MSAs where I think. Some of your competitors have also shown some strength lately, just an update, there would be great. Thanks.
Whitney Wolfe Herd: Yeah. Sure. Hi, this is Whitney speaking, so we are continuing to see very rapid growth on the Bumble app. And as we mentioned briefly earlier, according to third-party data sources that we're looking at in the majority of scaled markets that we operate in, including the U.S. of course, we are holding or gaining download share. So, when you look across the landscape, some competitors are growing somewhere declining.  But we do not see any scaled player who in the last six months is gaining any material share at the expense of Bumble. I think it's very important to note. We continuously invest not just in our product innovation and our technology innovation and our machine learning, but we also continue to invest in our brand, which gives us a competitive advantage and really allows us to reinvest in that mode that has been such a big part of our success to date.  And we're very confident that we'll carry us in the decades to come. So, I think it's just also important to turn to the Badoo app for a quick second. Well, the markets that it's operating in are slightly more challenged from a COVID standpoint, the same point really holds. We're gaining or holding share, while most of those markets are dealing with the pandemic. So of course, we're always focused and paying attention to our competition, but we are obsessively focused on our users.  And the most important point I can make here is that we continue to listen to the customer and we build for the customer, we optimize for the customer. If you continue to do that, we are very confident that by providing the very best experience for what they want, we will continue to be successful and competition will not be a risk.
Tariq Shaukat: Anything just to build on that for 1 second in terms of the MSA specifically and the geographies, in the U.S. we have a strong presence in the larger cities. We are continuing to build. Our geographic expansion, not just internationally, but in the U.S. as well, focusing on other Tier 1 city in tier 2 cities and in particular as Anu or Whitney mentioned with college towns and areas like that. So, we do see opportunities even in our established markets like the U.S. and U.K. to really continue to geographically diversify in addition to the work we're doing in Western Europe and Southeast Asia.
Whitney Wolfe Herd: And the final point I want to make, not to overdo this point, is really the brand is so strong. And if we just continue to stay focus on the machine learning the algorithm and the continuous improvements in that, we're very confident that competition is not an issue for us.
Brad Erickson: That's great. Thanks.
Tariq Shaukat: Thanks, Brent.
Operator: Thank you. Our next question comes from the Shweta Khajuria with Evercore, your line is open.
Shweta Khajuria: Okay. Thank you. Two questions from me, please.
Shweta Khajuria: Can you please talk about engagement trends? You called out India in particular so was there anything in particular that you would like to call out that drove engagement? I think you mentioned trivia and any other geographies where you saw outsized engagement and the reasons why. And then the second question is, how is BFF trending? You're planning to roll out some new features over the next few months, which to us implies that you are seeing some strengthening engagement there. So, could you please talk about what you're seeing with your BFF? Thanks.
Whitney Wolfe Herd: Sure Great. Thank you so much for the question. So, let's start on BFF. It's important to set the stage for the exceptional TAM that exists within BFF. The friend finding opportunity in the platonic relationship, an opportunity has only progressed become even more important and in-demand throughout the pandemic. People had their loneliest times and this really does exist across the friend-finding category.  And so, the fact that we have 10% of our Bumble users also using BFF today tells us that we have immense permission to be a much broader brand for friend-finding and ultimately a broader li -- women's lifestyle brands. So, when we look to how we are improving this in the future, our focus in 2021 is really fundamentally on product development, getting the product to be in a very strong position and certainly beyond what it is today, which is very much of minimum viable product.  And when you look at the experiments data that's coming out of these early innovations and early product developments, we are actually seeing that our new onboarding flow has led to an over 200% increase in the daily active users that are already using both BFF and date in those test markets whereas life currently. And this continues to validate the opportunity ahead for both engagement and monetization.  And we've seen historically is that the ARPU for BFF and Date together, the users that use both are 30% higher than the date-only customer, which really signals huge growth for us in the future and ultimately just to go. Into what the feature, what this product will do is really providing users with the ability to shore -- to connect with photonically, to lean into this opportunity, to find groups of friends, to sign communities, not just a one-to-one experience. And we are very excited to update you more on the next earnings call.
Tariq Shaukat: And turning to your first part of your question around engagement, I think there's a couple of things that we would call out. I think one of them is what I mentioned, earlier around is the optimization efforts that we do. We have teams that are really just focused on improving the onboarding experience, improving the retention experience, etc. and it's hard to overstate how important those efforts are in continuing to boost engagement for us.  So that is certainly one piece of it. I think a second is that we have been investing very heavily in algorithmic changes around our, what we think of as our people recommendation or people connection algorithm, and how do we actually identify who you're most likely to want to match with. And we've seen some really significant improvements in our ability to do that matching.  And we have actually invested a lot in capabilities to give us more data such as asking people to express their interest. We have about 40% of people on the Bumble app at the moment who are telling us not just the profile information, but what are they interested in? And we use that as part of the matchmaking algorithm. So that is certainly the second piece.  And then some of these elements that you referenced like Night In if we look at India, in particular, India as a combination of the first few pieces I just mentioned. Plus, India has probably had the best response of all the markets that we've seen so far for the Night and pre-feature, it was quite widely adopted from people who use video chat and are engaged in post-match in the side of India. And that's all despite obviously the catastrophe that was happening during Q2 in India. So, I think it really did provide an outlet for people like the ability for them to connect outside of -- in this virtual world, outside of what was going on in the real world.
Shweta Khajuria: Okay. Thanks, Brinlea. Thanks, Tariq.
Whitney Wolfe Herd: Thank you.
Operator: Thank you. Our next question comes from John Blackledge with Cowen. Your line is open.
John Blackledge: Thanks. 2 questions. First, any updated thoughts on potential app Store relief and timing. And then secondly, very solid EBITDA be with strong incremental margins with the guide, the implied margins in the back half or something down a couple of 100 bps up from first-half levels. So just curious. First about investments in the second half driving the slight margin compression. Thank you.
Anu Subramanian: Sure. Hey John. So obviously there is a ton of regulatory scrutiny around app store fees. We are watching all of it very closely as you can imagine. So, we know we will be, will be waiting to see what happens from the conversation those conversations. Our current EBITDA guidance for the second half assumes minimal impact from Google Play, and we're having conversations with them about what this means for 2022. They've been great partners to us.  Our discussions with them are still ongoing. And as we have more information about what that means for us, we will definitely share them with all of you. With respect to your question about EBITDA, you are right. I think we are planning as far as our second half is concerned, incremental investment with respect to things like marketing.  We've already said that we want to be nimble and we want to be opportunistic about continuing to invest in our business as the opportunities present themselves. So, our goal is, and our that's what we've guided to in terms of plans for Q3 and Q4, is to continue making that investment, and marketing is one of the biggest areas where you will see us do it. Obviously, we have to see what happens with respect to the world, reopening and markets reopening.  So, we will adjust our marketing plans based on that. But the one thing that we've done really well over the last 12 to 18 months is taking our on the field on the ground, grassroots marketing and we've transitioned that to digital marketing in a very effective way. So, we will make sure that we are super-efficient in terms of how we deploy that capital. That's what's built into our guidance as you think about a step down from Q2. So yeah.
John Blackledge: Thank you.
Operator: Thank you. Our next question comes from Andrew Marck from Raymond James. Your line is open.
Andrew Marck: Hi, thanks for taking my question. How should we be thinking about the size or the magnitude of the opportunity in the two-tier pricing and the effect that it could have for the Badoo app versus a Bumble app. given the differences in customer demographics and payer penetration at rates between the two apps. Thanks.
Anu Subramanian: Sure. I can take that. Obviously, the benefit of us launching two-tier after having spent the last few quarters launching Bumble Premium is, we have a ton of learnings from all the markets that we have launched Bumble in. And you're absolutely right. I mean there are differences in terms of how Badoo customer behaves and their propensity to pay is versus what you would see for Bumble.  One of the things that we will be doing differently as we launched two-tier is, we expect to launch the lower tier at the same price as where Bumble custom -- Badoo customers are today. With the higher tier, including additional consumables. So, it's a slightly different strategy than how we launched Bumble Premium. We've been doing many tests in many markets. I'm all ready and that makes us very confident that we will see strong our people as we start the launch.  So, we look forward again to giving you more updates once the launch happens, starting at the end of Q3. Another thing you will see us do is we're planning a much faster rate rollout out of 2 - tier. Again, because we have the benefit of having all the learnings from Bumble. And so, you'll see us accelerate the rollout through the end of the year for Badoo.
Andrew Marck: Great. Thank you.
Operator: Thank you. Our next question comes from Lauren Schenk from Morgan Stanley. Your line is open.
Lauren Schenk: Hey, thanks for taking my question. Just on the implied Fourth Quarter guide, it looks like you're expecting sort of acceleration in the fourth quarter on tougher comps last year, just wondering what the driver is behind that, maybe it's just Badoo, being impacted by Delta in the third quarter and then not in the Fourth-quarter, but any color there would be helpful. And then secondly, just any impact that you're seeing from IDFA on your marketing efficiency broadly.
Lauren Schenk: Thanks so much.
Anu Subramanian: Sure, I'll take the first part, and Tariq, I'll hand it over to you. In terms of the uptick in Q4, there are 2 things as you think about the Bumble app, we're very excited about continuing the rollout of our international markets. So, you'll see more growth coming from Some of the markets we've already launched, such as Northern Europe, dock, etc.  And good also excited about launching newer markets, some of them in Asia on [Indiscernible] So that's part of some of the uptick we expect to see. From an ARPPU perspective for Bumble, again, we expect to see healthy growth coming from benefits of two-tier as well as the launch of new products that we have planned in the pipeline. And as we think about Badoo, two-tier for Badoo is big.  Our part of how we think about growth, increasing in Q4. Like I was just telling a lot of the test results that have come out of the test that we've already done, show us that our people will see nice growth. So, we are excited about that as we think about the Q4 growth. Tariq.
Tariq Shaukat: And Lauren on the IDFA question. We are seeing essentially flat to even slightly down CPI's even through the IDFA. I'm actually very proud of our marketing team and how we've been able to navigate through that to date. One of the things that I'd remind everyone of is that we only rely on performance marketing for about 20% or so of our new customer acquisitions. And we have a very strong organic channel.  And so that certainly has helped us in general. But the CPIs are pretty stable for us as we've navigated through this, the team is currently working through how do we continue to scale that even further. And it's something that they are working through, but so far, I think it's been generally good news in terms of the things we've done.
Lauren Schenk: Okay. Thank you so much.
Operator: Thank you... Our next question comes from Brent Thill with Jefferies. Your line is open.
Brent Thill: Whitney. I know you've mentioned to us, don't get excited and our models about BFS in the short term. But as you look longer-term, do you think there are different revenue models you could attach? Your advertising business, for example, was barely up year-on-year. I'm curious if you think you could open among a much bigger advertising segment of the business, or are there other ways you're creatively thinking through this monetization of BFF. And at work overtime.
Whitney Wolfe Herd: Hi, thanks so much for the questions. A topic I'm very excited about. So, we cannot give you specifics, but the short answer is absolute. There are major monetization opportunities ahead of us, we would probably categorize that in three ways. Number one, subscription, obviously different from the ones you're seeing today in dating. These are very different use cases, right? Looking for a love interest is different from looking for a friend.  So, of course, the way we would back into the subscription model will be different, but we are very bullish on the opportunity around subscription in the future. The second category is advertising. This is an advertising megawatt opportunity down the road. I don't want to spend the time on today's earnings call talking about the way we would approach that. But the third category would be the creator economy this is a really exciting opportunity.  One that we know our audience is prime for, and we are very excited about all three of those categories as we look to the future. And again, as we just talk more broadly about the BFF opportunity, you would go back to 2012 when we were launching one of the first mainstream products But Tinder, this is an exploding category, friend-finding kind of like what dating was several years ago. And so, we're very excited about the growth horizon,
Brent Thill: Maybe just a quick follow-up for new just on the GOs. was there a territory that you would consider that surprised you in terms of the bounce back or one that just really stood out. I know you mentioned there were a couple. But if you had to take the strongest kind of bounce back, how would you characterize the one or two regions that you are most excited by?
Anu Subramanian: Sure. I think I said this in my comments. We've seen the DACH region do really well some a user growth perspective. But we've started to see really impressive growth from a revenue perspective and from a payer penetration perspective as well.  So dach is a top region for us from a total revenue perspective, that's been exciting. Like Tariq mentioned earlier, we were surprised by the level of engagement that we saw in markets like India. Obviously, India was pretty hard hit in Q2 with COVID, but we release a ton of features and I think that really helped keep the market pretty strong as well.
Brent Thill: Thank you.
Operator: Thank you. And our next question comes from Dan Salmon with BMO Capital Markets. Your line is open.
Dan Salmon: Hi, good afternoon, everyone. To look the entire, I think maybe could you just expand a bit more on your M&A priorities right now, certain features, certain markets, and maybe your latest views on whether it makes sense to grow your portfolio. And Whitney, you're right. It probably doesn't make sense to go into the entire advertising opportunity on this call right now. But maybe one or two more lines on what might make a megawatt opportunity and the differentiation on what you see down the road? Thanks.
Whitney Wolfe Herd: Sure. thank you for the questions, I'll kick off on the M & A first. So, I think I'd like to begin by saying we are in this incredibly fortunate position where M & A is not a requirement for us to maintain and accelerate our growth at the group level.  Bumble app, has tremendous potential in and of itself, which is very untapped for the extensibility opportunities and we believe that the term for Badoo, when you look at that customer as a scale player is also incredibly significant but that said, we love growth and we love growth horizons and we are very open to M&A if the opportunity is right. So, we have a very disciplined approach to that with a lot of both operational and financial rigor.  So essentially, we're looking at a few questions when we look at M&A, how can we reach more audiences in a deeper way? How can we take our pre-existing members and help them find more tailored ways to connect? And how can we leverage our scale technology, marketing, safety, and monetization platform and infrastructure, and leverage that for other brands that have huge growth opportunities? All of this is just aligned and ultimately reinforcing our mission of helping people safely build healthy and equitable relationships.  And every opportunity is looked at through make-or-buy criteria. We're going to be building our way into new opportunities as well. And we will supplement that with acquisitions as and when it makes financial and operational sense.  We have a foundation of engineering excellence that gives us a lot of strategic flexibility here. The other thing to note is we have a shared model, right? We are a hub of sources, so we have this opportunity to really share resources within our group. And that is a huge benefit. Let's turn to advertise for a quick second. BFF has this remarkable opportunity for us to really lean into people's shared joys and also their shared struggles.  When did you look at the opportunity to [Indiscernible] them relevant content or send them places in the real world? This is very interesting when you look at traditional advertising models online, most of it doesn't actually follow the post-experience. We have this unique model where we send people offline. If we do our job well, we help them find each other in the real world and there is huge advertising in partnership opportunity there.  Also, the user community is to find people with similar needs. There's a huge advertising opportunity there. And ultimately, this is just great for brand engagement in partnerships. Likely not programmatic, but really high quality. And if you look back historically from the interest from partnerships and brands, it's really over-indexed towards BFF, people are very, very excited about tapping into that audience. And so, this is something to keep in mind.
Dan Salmon: Thank you.
Operator: Thank you. And our next question comes from Steve Koenig with SMBC Nikko. Your line is open.
Steve Koenig: Thank you very much. Congratulations. Bumble on a really good quarter. Great guidance Raise. I got one question for Whitney and kind of a housekeeping question here for Anu, why don't I start with the housekeeping item? I just want to make sure I got your numbers right. So, you mentioned that the headwind from the deferred write-down was 4 million in Q2, and I -- if I recall correctly, it was 9 million in Q1.  So, am I correct in thinking that that headwind diminished by 5 million? And so -- and then when does that write down to turn out to be de minimis? How how long will that go on? That's the housekeeping and I will follow up with one for Whitney.
Anu Subramanian: Sure. So, if you look at our 2020 numbers are total impact on some purchase accounting was 15 million, so Q1 and Q2 had the most impact in terms of where you would see it. So, we just have a little left to go in the second half of the year.
Steve Koenig: Okay. Very good. Thanks for that. And then, Whitney, interesting commentary about driving users to encourage them to fill out more detailed profiles in order to cultivate more serious relationships on the Bumble app. Just curious what's driving your efforts here? And is that kind of a treat to the model or is that kind of a little bit of a shift in the center of gravity kind of how, how should we think about that initiative?
Whitney Wolfe Herd: I just want to make sure I understand your question appropriately. So, are you talking about moving into more serious dating, the product features we referenced earlier?
Steve Koenig: Yes, exactly.
Whitney Wolfe Herd: Okay. Great. So, the way we start with this and how we approach this in Q2 was really ultimately at the onboarding. Collecting more information on the customer and helping them meet people that are those looking for the same things that they're looking for, but our people that they actually really want to meet. So, Bumble app updated our -- we updated our on-boarding for those that were actually looking for a serious relationship. And this prompted them to create robust and less superficial profiles, and a 10% increase in members filling out the about me section was seen in Q2 and a 13% increase in members that were connecting their Instagram.  There was also a 12% increase in members filling out lifestyle budges lifestyle budges could be anything from what's your horizon on children? Do you -- do you drink? Do you -- What's your religion? And then there was a 17% increase in members filling out questions in their profile. So ultimately really building a more robust kind of DNA on the customer has really helped people find really relevant matches.
Steve Koenig: And what I'm curious about, thanks for that color on that. What I'm curious about is kind of what's driving that? is it. Is it a belief that that will improve user engagement ultimately, or kind of are you, are you seeing that kind of that part of the market opportunity perhaps grow more quickly in the current environment, kind of what's driving your efforts there really is the question I'm curious about?
Whitney Wolfe Herd: Sure, of course. I would say a few things are driving it. I'll start and then I know Tariq would love to add some more detail to this as well. Ultimately, this is what the customer had told us they want. We constantly and continuously ask our customers what they're looking for. We always invest in listening to them both through our data, but also through surveys. And we recognized that women wanted more serious relationships more than ever before. And this really led to the feature rollout.
Tariq Shaukat: I think the biggest need that we're trying to solve is to make sure that the experience is right for you for whatever relationship type that you are interested in. So, when you said there are more people looking for serious relationships, but in general, there are more people just being explicit about the types of relationships they are looking for.  And we're trying to give them the tools so that they can state that. Nobody is surprised. They can meet with people who are most compatible with them. And things like that. That is one of the biggest changes we've seen in the pandemic is, people at the moment seem to know what they're looking for and want to get there as quickly as possible.
Steve Koenig: Got it. Great, well thanks very much for the color.
Whitney Wolfe Herd: Thank you.
Operator: Thank you. And our next question comes from Lauren Champine from Luke Capital Your line is open.
Lauren Champine: Thank you. It's Just a quick housekeeping one for our new stock-based comp that came in a little higher than what we expected. What are your thoughts for the back half of the? You're on that line.
Anu Subramanian: Sure. So, our stock-based comp was higher this quarter primarily due to modification of equity awards, as well as new grants that we did post IPO. We do expect this number if you see the RQ1 number was higher than the 30 million that we posted this quarter. We do expect this number to moderate over the future quarters, but there's an uptake post IPO, which is leading to the higher expense.
Lauren Champine: And then into next year, we should think of that roughly at the run rate of the back half of this year, is that correct? 
Anu Subramanian: Yes. That's right. 
Lauren Champine: Great. Thank you.
Operator: Thank you. [Operator Instructions] wonderful day.